Operator: Good afternoon. My name is Sherilyn and I will be your conference operator today. At this time, I would like to welcome everyone to the Aspen Technology Fourth Quarter 2016 Fiscal Year Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. I would now like to turn the conference over to Karl Johnsen. Please go ahead, sir.
Karl E. Johnsen - Senior Vice President & Chief Financial Officer: Thank you. Good afternoon, everyone and thank you for joining us to review our fourth quarter and full year fiscal 2016 results for the period ended June 30, 2016. I'm Karl Johnsen, CFO of AspenTech, and with me on the call today is Antonio Pietri, President and CEO. Before we begin, I will make the usual Safe Harbor statement that during the course of this call, we may make projections or other forward-looking statements about the financial performance of the company that involve risks and uncertainties. The company's actual results may differ material from such projections or statements. Factors that may cause such differences include, but are not limited to, those discussed in today's call and in our Form 10-K for the fiscal year 2016, which is now on file with the SEC. Also, please note that the following information is related to our current business conditions and our outlook as of today, August 11, 2016. Consistent with our prior practice, we expressly disclaim any obligation to update this information. The structure of today's call will be as follows. Antonio will discuss business highlights from the quarter and then I'll review our financial results for the fourth quarter and fiscal year and our guidance for the first quarter and fiscal year 2017 before we open up the call for Q&A. With that, let me turn the call over to Antonio. Antonio?
Antonio J. Pietri - President, Chief Executive Officer & Director: Thanks, Karl and thanks to everyone for joining us today. We delivered solid results in the fourth quarter that reflected a strong execution by the AspenTech team in a macro environment that remains challenging. Looking at our financial highlights for the quarter, total revenue was $113.7 million, at the high end of our guidance range of $111 million to $114 million. GAAP operating income was $49 million and non-GAAP operating income was $52.4 million, which represents a non-GAAP operating margin of 46%. GAAP earnings per share was $0.41 and non-GAAP earnings per share was $0.44, both of which were $0.04 above the high-end of our guidance ranges. Free cash flow was $47.5 million and we returned $75 million to shareholders by repurchasing 2 million shares. For the full fiscal year 2016, we delivered total revenue of $472.3 million, GAAP earnings per share of $1.68 and non-GAAP earnings per share of $1.87, both of which were above the high end of our guidance ranges. GAAP operating margin of 44.8% and non-GAAP operating margin of 49.3%, up 420 basis points year-over-year. Free cash flow of $165.1 million, annual spend of $441 million, up 5.3% year-over-year and we returned $180 million to shareholders by repurchasing approximately 4.8 million shares. We're pleased with our fourth quarter performance which enabled us to achieve the upper end of our 3% to 6% annual spend guidance for the full year. During the quarter, we saw broad-based demand from downstream and chemicals customers who continued to make investments to improve the efficiency and productivity of their assets. We were encouraged that the deal flow and customer dynamics around completing transactions in the quarter more closely represented historical patterns, reflecting the value customers realize from our solutions. However, we have yet to see customers believe that oil prices have stabilized which would continue to weigh on overall demand. During our Q3 earnings call, we referred to some sizeable transactions in our Q4 pipeline. We're pleased to have closed significant transactions in the fourth quarter with two of the largest oil and chemical companies in the world. These transactions expand AspenTech's footprint across these customers' assets portfolio and demonstrate the positive impact of our business from the R&D investments made in recent years across our product suite. In particular, in the PIMS-AO advanced optimization planning product, the DMC3 adopted advanced controlled product and in the aspenONE Process Explorer client data visualization product as well as in our engineering products. We believe these two transactions are a testament to the value we deliver to customers and our ability to grow our business in a challenging economic environment. Our fourth quarter performance was achieved despite the fact that the three Latin American NOC transactions referenced on prior earnings calls did not renew. The macro environment in certain countries in this region remains challenging. And while we continue actively engage with these customers, the timing for any of these transactions to close is unclear at this time. We do not intend to provide further progress updates on these transactions going forward, but we will inform investors, if any of these transactions closes. Turning to engineering and construction and upstream energy, this vertical markets continue to be under pressure, though we did experience a second quarter of positive growth for the SMB E&C group. The rebound in oil prices during the second calendar quarter was a positive development. Though we have yet to see price stability in the oil market, as we've consistently said, we believe price stability in a comfortable range for producers is a necessary step before customers in this vertical will have the confidence to step up investment in their businesses. Looking at our performance in Q4, we saw a solid performance in our North America, Middle East, Russia and Global Accounts regions. These regions were also the primary growth drivers for the full year. From a product perspective, for the year, our engineering business represented 8% of our overall annual spend growth with the MSC business representing the other 92%. We were pleased with the performance of our engineering business considering that its growth was impacted by the macro environment impacting the E&C and upstream verticals. Our install base of business at the end of the year on annual spend basis is split 67% engineering and 33% MSC. Our three core verticals of energy, chemicals, and E&C contributed 49%, 40% and 5% of our growth in annual spend during the year respectively. Our attrition rate for fiscal year 2016 was around 6% which compares to approximately 3% in fiscal year 2015. The attrition rate is a new metric that we introduced to investors during our Investor Day in early June to measure the retention rates for our contracts on a dollar basis against our total base of annual spend. This is consistent with the number we shared at Analyst Day and reflects the impact from the challenges facing our E&C and upstream customers. It is our current intention to update investors on this metric on a yearly basis. Karl will review our overall guidance later, but I wanted to take a moment to discuss our annual spend outlook for fiscal year 2017. We're reiterating our target of 3% to 6% growth in annual spend. This outlook assumes no impact from the Latin American NOC transactions that has not renewed and no improvement in the demand environment we experienced in fiscal year 2016. As you know, annual spend growth can fluctuate quarter-to-quarter based on the timing of customer contracts and renewals, but overall, we feel confident about our ability to deliver another year of growth in fiscal year 2017. Turning to the fourth quarter; energy, engineering and construction and chemicals once again represented greater than 90% of our business. Energy was the largest vertical contributor followed by chemicals. E&C was a negative contributor to growth in the fourth quarter. Looking at our 10 largest transactions in the quarter, there was again a mix of engineering and manufacturing supply chain transactions. I would like to provide some color on this quarter by highlighting the following transactions. First, a global oil company signed a sizeable transaction with AspenTech to extend its use of our petroleum supply chain solutions after piloting our PIMS-AO solution and determining the significant incremental margin expansion potential from its use in their operations. Second, a global producer of industrial gases decided to expand use of our Aspen Capital Cost Estimation product in its North American operations after evaluating ACCE against a competing product. This decision not only quadrupled this customer's token entitlement, but also opened up usage of the aspenONE Engineering suite. In particular, this customer sees an opportunity to realize significant value from the pressure relief valve sizing and flare analyzer functionalities in Aspen Plus, which further validates the benefits from the breadth of functionality available in this suite. Third, a long-term customer, a global chemicals company renewed its engineering and MSC agreement while increasing entitlement and annual spend. The renewal will lead to increased deployment of AspenTech's supply chain management solution across many of their plants to improve operations through the use of our scheduling solution. Finally, a large Russian refiner expanded use of AspenTech MSC solutions by implementing our Aspen Petroleum Scheduler solution in their scheduling organizations at their refineries, that we were able to grow token entitlement with this customer despite the difficult macro environment in Russia, reflects the incremental value a customer expects to realize by leveraging the synergies between our scheduling and engineering solutions. At our recent Analyst Day, we outlined our future product vision that will be built around asset optimization. We have a comprehensive product roadmap that we believe will significantly enhance our leadership in asset design and asset operations, as well as expand our market presence to include asset maintenance. A key element of our strategy is to leverage the large amounts of operational data and asset models in the aspenONE platform with a purpose-built analytics solution. During the quarter, we announced the general availability of aspenONE Version 9, including exciting early analytics capabilities for column analysis inside HYSYS and Aspen Plus, which will help drive energy savings of up to 20% for distillation columns. Other innovations in Version 9 include the integration of the BLOWDOWN depressurization solution and Sulsim sulfur recovery technology that we previously acquired. We have seen strong customer interest in this acquired safety and environmental technologies, which highlight the value of our tuck-in M&A strategy can produce. The Version 9 release has been received in the marketplace with positive customer feedback and strong interest and demand. We will continue to use M&A to augment our internal product development efforts. During the quarter, we made another tuck-in acquisition of The Fidelis Group, a leading provider of asset reliability software used to help owner-operators predict and optimize asset performance as part of their risk analysis process. Fidelis' solutions are a great addition to the aspenONE platform and will help accelerate execution of our asset optimization strategy. AspenTech's highly scalable business model generates significant free cash flow, which we can deploy to support M&A and return capital to shareholders via share repurchases. During the fourth quarter, we repurchased another $75 million of stock bringing our cumulative share repurchases to over $740 million since fiscal year 2011. As we announced last call, it is our intention to repurchase $400 million of stock in fiscal year 2017 based on current market conditions and business outlook. Our strong balance sheet and free cash flow are a strategic asset for the company and we intend to continue to deploy capital prudently to support our growth initiatives and share repurchase program to produce significant shareholder value. Before I close, I would like to welcome the newest member of our board of directors, Halsey Wise. Halsey has nearly 30 years of technology and leadership experience, most recently as the Chairman and CEO of MedAssets, a healthcare technology company. He also has a strong engineering software background from his time as Chairman, President, and CEO of Intergraph, a leading engineering and geospatial software company. Halsey's extensive operational and financial experience will be a strong addition to our board and I look forward to his contribution. To summarize, AspenTech ended fiscal 2016 on a strong note. Our ability to generate over 5% growth in annual spend in a year that has seen significant disruption in several of our key markets underscores the resiliency of our business and a significant value we generate for customers. We're executing well in a challenging environment and believe we're well-positioned to deliver another year of growth and profitability in fiscal year 2017. With that, let me turn the call over to Karl. Karl?
Karl E. Johnsen - Senior Vice President & Chief Financial Officer: Thanks, Antonio. I will now review our financial results for fourth quarter and full fiscal year 2016 beginning with annual spend. Annual spend which is a proxy for the annualized value of our recurrent term license and maintenance business at the end of each period was approximately $441 million at the end of the fourth quarter. This represented an increase of approximately 5.3% on a year-over-year basis and 2.5% sequentially. Now let me turn our financial results beginning on a GAAP basis. Total revenue was $113.7 million for the fourth quarter and compares to $114.2 million in the prior year period. Looking at revenue by line item, subscription software revenue was $106.7 million for the fourth quarter, an increase from $105.6 million in the prior year period and down from $111.7 million last quarter. Services and other revenue was $7 million compared to $8.5 million in the year ago period, and $7.5 million last quarter. As a reminder, we recognized approximately $3.9 million of non-recurring revenue during the third quarter and did not have any similar revenue during the fourth quarter. Turning to profitability. Gross profit was $101.9 million in the quarter with a gross margin of 89.7%, which compares to $101.6 million and a gross margin of 88.9% in the prior year period. Operating expenses for the quarter were $53 million compared to $54.7 million in the year ago period. Total GAAP expenses, including cost of revenue, are $64.7 million which is down from $67.3 million in the year ago period and down from $68.5 million last quarter. For the full year, total expenses were $261 million which was slightly below our guidance range of $262 million to $266 million. Striking the appropriate balance between making targeted investments for growth and maintaining strong expense management has been and will remain a core focus of our management team. Operating income was $49 million for the fourth quarter of fiscal 2016 compared to $46.9 million in the year ago period. Net income for the quarter was $33.3 million or $0.41 per share compared to net income of $30.8 million or $0.36 per share in the fourth quarter fiscal 2015. Turning to non-GAAP results. Excluding the impact of stock-based compensation expense, restructuring charges, amortization of intangibles associated with acquisition, acquisition-related expenses and non-capitalized acquired technology, we reported non-GAAP operating income for the fourth quarter of $52.4 million representing a 46% non-GAAP operating margin compared to non-GAAP operating income and margin of $50.5 million and 44% respectively in the year ago period. Non-GAAP net income was $35.5 million or $0.44 per share in the fourth quarter of fiscal 2016 based on 81.6 million shares outstanding, which was $0.04 above the high end of our guidance range. This compares to non-GAAP net income of $33.1 million or $0.39 per share in the fourth quarter of fiscal 2015 based on 85.6 million shares outstanding. For the full fiscal year, our revenue was $472.3 million and was in line with our guidance range. GAAP operating income of $211.4 million was an improvement from $179.8 million in fiscal 2015 while non-GAAP operating income of $232.7 million improved from $198.4 million in fiscal 2015. Turning to the balance sheet and cash flow. The company ended the year with $321.3 million in cash and marketable securities compared to $105.9 million from last quarter. The increase reflects the return of approximately $252 million of net cash that has been held in escrow related to our KBC bid. During the fourth quarter, we repurchased approximately 2 million shares of our stock for $75.5 million, bringing us to a total of $178.6 million in buybacks for fiscal 2016. Looking at our deferred revenue balance, it was $282.1 million at the end of the fourth quarter representing a 2.4% decrease compared to the end of the year ago period. On a sequential basis, deferred revenue increased $17.3 million. The year-over-year decline reflects the continued impact of approximately $8 million in non-recurring revenue recognized over the past year that had been included in deferred revenue combined with lower levels of deferred services revenue. From a cash flow perspective, the company generated $44.8 million of cash from operations during the fourth quarter and $153.7 million for the full fiscal year. For the full fiscal year 2016, free cash flow was $165.1 million. This year's free cash flow is down from the $223.6 million generated in fiscal 2015 due to the fact that we became a U.S. corporate taxpayer at the beginning of fiscal year 2016. Adjusting for the approximately $69 million in cash taxes paid during the year, free cash flow grew approximately 3%. A reconciliation of GAAP to non-GAAP results is provided in the tables within our press release, which is also available on our website. I'd now like to close with our financial outlook for the first quarter and full year fiscal 2017. We are reiterating our full fiscal year guidance that we initially provided at our Investor Day this past June. We continue to expect revenue to be in the range of $470 million to $477 million and continue to expect subscription software to comprise greater than 90% of revenue with our services and other revenue representing the remainder. From an expense perspective, we expect total GAAP expenses of $268 million to $273 million. Taken together, we continue to target GAAP operating income in the range of $199 million to $206 million for fiscal 2017, with GAAP net income of approximately $126 million to $131 million. We expect GAAP net income per share of $1.56 to $1.62. From a non-GAAP perspective, we are reiterating our non-GAAP operating income guidance of $217 million to $224 million, and expect non-GAAP income per share in the range of $1.71 to $1.76. The increase in our GAAP and non-GAAP income per share guidance reflects the impact of our share repurchases in the fourth quarter of fiscal 2016. With respect to annual spend growth in fiscal 2017, as Antonio has already indicated, we are maintaining our guidance of 3% to 6% annual spend growth in fiscal 2017. From a free cash flow perspective, we are reiterating our fiscal year guidance of $160 million to $165 million that was initially provided at our Investor Day. Our fiscal 2017 free cash flow guidance assumes cash tax payments of approximately $65 million to $70 million. From a timing perspective, we would expect to pay 50% of our cash taxes in the second quarter with remaining 50% paid equally in the third and fourth quarters. As it relates to the first quarter, we expect revenue in the range of $115 million to $117 million, non-GAAP operating income of $54 million to $56 million and non-GAAP EPS of $0.42 to $0.44 per share. On a GAAP basis, we expect operating income of $49 million to $51 million and income per share of $0.39 to $0.40. In summary, we're pleased with our fourth quarter performance. We are executing well in a challenging market, which together with our strong expense discipline, is generating solid profitability and cash flow. With that, we're now happy to take your questions. Operator, let's begin the Q&A.
Operator: Your first question comes from Matt Pfau with William Blair.
Matthew C. Pfau - William Blair & Co. LLC: Hey, guys. Thanks for taking my questions. First one, want to dig-in a little bit on the large deal that you closed in the quarter that, I assume, drove some of the upside there with the annual spend number. So was this just that you had closed the deals for more than you had originally expected or factored in the guidance, or I guess what drove the upside? Because given you're maintaining your guidance for fiscal 2017 for annual spend, it doesn't seem like they were pulled forward or anything.
Antonio J. Pietri - President, Chief Executive Officer & Director: No. I mean, look, when we had our Q3 earnings call, we talked about some sizable transactions in our Q4 pipeline. We've been working on these deals and we knew there was a good probability that it would close in the Q4 quarter and we managed to do so. It's more than one, but in general, as I said in my commentary, we also saw a broad-based demand for our products with our owner-operators in refining and chemicals. So it wasn't just one transaction. There was more than one sizable transaction, but there was also a good solid demand for our products in the quarter.
Matthew C. Pfau - William Blair & Co. LLC: Got it. And then with respect to the fiscal 2017 annual spend guidance, you commented that there's not an expectation of closing some of the national – those two Latin American or three Latin American oil company contracts during fiscal 2017. Was this the expectation all along or is this different in respect to what you've factored into your expectations for the annual spend for fiscal 2017?
Antonio J. Pietri - President, Chief Executive Officer & Director: Well, the annual spend guidance for fiscal 2017, what it says and I stated is that those Latin American NOC deals are not included in the 3% to 6%. So that doesn't mean that we don't expect them to close, but based on the dynamics that we saw over the last three quarters, we feel it is a safe or conservative thing to do not to bake them into the guidance. We'll continue to engage with those customers and we'll see if they close in fiscal 2017.
Matthew C. Pfau - William Blair & Co. LLC: All right. Great. That's it from me, guys. Thanks for taking my questions.
Operator: Your next question comes from Monika Garg with Pacific Crest.
Monika Garg - Pacific Crest Securities: Hi. Thanks for taking my question. First, the annual spend guidance of 3% to 6%. Maybe can you talk about how do you think the growth is between E&C, chemicals and energy industries baked into the guidance?
Antonio J. Pietri - President, Chief Executive Officer & Director: Well Monika, the basic assumption that we've made about fiscal 2017 is that it will look a lot like 2016. We don't believe, based on where we are today and what we've seen, that the dynamics have changed in the marketplace. So we told you that almost 85%, 90% of our growth came from really energy and chemicals and that's really refining chemicals a little bit from E&C and some other from other industries, the rest, about 5% to 6%. So we would expect the same dynamic for 2017.
Monika Garg - Pacific Crest Securities: Got it. Thanks. Then your non-GAAP margins came in at 49.3% points in fiscal 2016, but you're guiding to 46% to 47% for 2017. So why so much margin compression or are you being conservative?
Karl E. Johnsen - Senior Vice President & Chief Financial Officer: So Monika, it's Karl. I think when you look at 2016, you have to factor in the one-time revenues that we've talked about, about $10 million which brought them up. So you could kind of factor those in and then we are making a investment in 2017, but we are expanding our expenses that we talked about on Investor Day. So we're making some targeted investments into the marketing with digital platforms, R&D and a little bit of the back office.
Monika Garg - Pacific Crest Securities: Then Antonio, oil has recovered from the somewhat low prices we had seen. Could you maybe talk about, you have seen any changes in tone with your customers or how the customers are viewing the market?
Antonio J. Pietri - President, Chief Executive Officer & Director: Well, I mean look, I think overall including customers, it was nice to see oil move up to $45 to $50 and stay there, even north of $50 for a while. But as you've also seen in the last few weeks, oil got down to $40 and now it's been back up a little bit to $45 or so. When we talk to customers, they feel that – they're just waiting to see what the bottom is really for oil. As I've met with investors and also you, Monika and other analysts. What I've said is that we need to see oil prices stabilized at a level that creates confidence in our customers for them to then plan to invest when their next budget cycle comes around in September, October, November for calendar year 2017. But when you have oil prices still moving up and then down, and up again, it sort of gives a sense that things are not yet fully stable as far as the supply-demand equation. But there's a positive outlook. If you read the analysts' commentary, looks like oil is already coming into balance, and probably the supply will be outstripping demand towards the end of the calendar year. And that should be positive, but at the moment, I don't think there's enough there for customers or us to change how we feel about the current market.
Monika Garg - Pacific Crest Securities: Thank you so much.
Antonio J. Pietri - President, Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from Sterling Auty with JPMorgan.
Jackson E. Ader - JPMorgan Securities LLC: Hi, guys. This is Jackson Ader on for Sterling.
Antonio J. Pietri - President, Chief Executive Officer & Director: Hi, Jackson.
Jackson E. Ader - JPMorgan Securities LLC: Hi. How are you? You called out that North America and Middle East and Russia were all positive regions in the quarter. I was just wondering if we can get an update maybe on Europe.
Antonio J. Pietri - President, Chief Executive Officer & Director: Yeah. No look, Europe – Central Europe has a big chemicals industry and as such we saw good demand on chemicals out of Europe. At the same time, the E&C company space in Europe faced the same dynamics that everyone else did in the E&C space. The refining business in Europe has always been more challenged from a margins perspective than the rest of the world because of the dynamics there with really a contracting refining base. Nonetheless, we saw good demand out of Europe, but the combination of upstream E&Cs, they make Europe the standout that these are the regions that we called out were.
Jackson E. Ader - JPMorgan Securities LLC: Okay. Great. And then just a quick follow-up. As you look out into 2017, are there any large renewals? And I know you've talked about not anything past that are going to slip, but are there new large renewals that are coming up in 2017? And if so, what quarters do you expect them to come up for renewal?
Antonio J. Pietri - President, Chief Executive Officer & Director: Yes. Well, I mean look, as you would expect, every year we have a whole new set of renewals that come up because – since it's a six-year contract and they are distributed over those six years. We do have renewals, some of size and most of not great size, but the thing about the last 12 months is that we've also learned a lot about the dynamics in the market. We believe we understand better how customers are thinking about their businesses both in chemicals, refining, E&Cs, and upstream and going into 2017, I also feel that we're better prepared to work with customers on these renewals, but there's nothing there that we would call out like we have done for the Latin American NOCs.
Jackson E. Ader - JPMorgan Securities LLC: Okay, great. That was all for me. Thank you.
Antonio J. Pietri - President, Chief Executive Officer & Director: Thank you.
Operator: The next question comes from Mark Schappel with Benchmark.
Mark W. Schappel - The Benchmark Co. LLC: Hi. Good evening. Thank you for taking my question here. Antonio, with respect to the two large transactions with the large oil and chemical customers in the quarter, were those deals with the NOCs or were they with the independents?
Antonio J. Pietri - President, Chief Executive Officer & Director: No, independents.
Mark W. Schappel - The Benchmark Co. LLC: Independents. And then building on a prior question, in fiscal 2016 I believe the company had a higher than usual concentration of contract renewals – up for renewal with the national oil companies. And I was just wondering if you can give us an idea of what fiscal 2017 looks like, just generally, with respect to the NOC contract renewals. Is it above average? Is it below average? Average?
Antonio J. Pietri - President, Chief Executive Officer & Director: No, but let me look – yeah, there's a lot of NOCs out there. The thing about 2016 is, there was a concentration of NOCs in a specific part of the world that we called out, and we also felt that the other two contracts, we needed to call them out. But the profile of our NOC business, understanding what it takes to renew business with different NOCs because not all NOCs are equal, it's not the same. 2017 looks different than 2016 and that's why we haven't called out anything specific to our renewals in 2017.
Mark W. Schappel - The Benchmark Co. LLC: Okay. Thank you.
Antonio J. Pietri - President, Chief Executive Officer & Director: Yeah.
Operator: Your next question comes from Michael Morosi with Avondale Partners.
Antonio J. Pietri - President, Chief Executive Officer & Director: Hey, Michael.
Michael Morosi - Avondale Partners LLC: Hi, guys. Thanks for taking the questions.
Antonio J. Pietri - President, Chief Executive Officer & Director: Yeah.
Michael Morosi - Avondale Partners LLC: First off, you're obviously seeing a lot of strength in the downstream segments, your owner-operators in the chemicals. Could you talk just a little bit more about the sources of that. Is that some of the products that you brought into that market. Is it macro, is it some of the other things you're doing to educate customers, just so we can understand those drivers a little better?
Antonio J. Pietri - President, Chief Executive Officer & Director: Yeah. Well, let me look. I stated in my commentary that certainly I believe that the investments that we have made in our products over the last few years and really five years or so, is starting to pay off. We've enhanced the capabilities, the optimization algorithms, not to get too technical here. We've re-platformed some products and done a lot to them, and introduced new, completely new products such as Adaptive Process Control and I think that's all paying off. DMC3 and Adaptive Process Control, it's in its third year, but now it's getting more traction in the market. We've done certain things to PIMS-AO that have improved our product and create much greater value for our customers than PIMS does and there's a series of PIMS. In addition, even though the environment for refiners and chemical producers have been positive, I still think that there's always that pressure to continue to optimize and drive efficiencies out of their assets. And that's what you see in what these customers are doing. Look, we're also getting better. I like to think that some of our focus on digital marketing and how we're reaching out to customers and the messaging around our value propositions is having an impact. So when you see something like this, it's a combination of multiple factors, including a testament to the leadership of the company in the marketplace and our relationship with customers. So it takes a lot of factors but it's a good outcome, and we're very happy about it.
Michael Morosi - Avondale Partners LLC: That's great. Thanks a lot for that. And then, with respect to the annual spend, we appreciate the color on growth by segment, but how about by region? Are there particular pockets of strength that you're seeing?
Antonio J. Pietri - President, Chief Executive Officer & Director: Yeah. So, when I mentioned North America, Russia, the Middle East, Global Accounts, those are regions that showed strength in growth and better than expected, in some cases. In others, they delivered growth that was commensurate with what we would expect in a normal environment out of those regions. So some of those regions exceeded our expectations and others just delivered to what they should deliver on a normal environment. So you should take those four regions as regions that showed a solid growth.
Michael Morosi - Avondale Partners LLC: And then finally, it's good to hear that we saw sequential improvement again in the SMB portion of the E&C market, but you're still pretty cautious overall on that segment. How do you kind of square those two developments? And when do you think that strength in the kind of the more volatile end of the market will flow through to the broader market?
Antonio J. Pietri - President, Chief Executive Officer & Director: Yeah. Look, if you look at the metrics that we released, you will conclude that our E&C business was actually positive for the year when we had stated and felt that it was going to be slightly negative a couple of quarters ago. I think part of it is a turnaround that we've seen in the SMB business in Q3 and Q4. I like to wait until I see the spending patterns in calendar 2017, because I think the budgeting that will take place towards the end of this year for calendar 2017 will be telling about how that will flow through the overall E&C market.
Michael Morosi - Avondale Partners LLC: That's great. Thanks for the questions.
Antonio J. Pietri - President, Chief Executive Officer & Director: Yeah. Done?
Operator: I would now like to turn the conference over to Antonio Pietri for any closing remarks.
Antonio J. Pietri - President, Chief Executive Officer & Director: All right. Well, again, I want to thank all of your for joining the call in the middle of the summer. I know there's a sensation to be away and join the good weather. But again, thanks again for joining, and we look forward to meeting you on the road in September when we go out there to meet with investors and analysts. Thanks.
Operator: Thank you for your participation. This concludes today's conference call. You may now disconnect.